Operator: Good afternoon. My name is Cole, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Toast Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I'll now turn the call over to Michael Senno, Senior Vice President of Finance. You now may begin.
Michael Senno : Thanks, Cole. Welcome to Toast's earnings conference call for the third quarter ended September 30, 2023. On today's call are CEO, Chris Comparato; COO, Aman Narang; and CFO, Elena Gomez will open with prepared remarks which will be followed by our Q&A session. Before we start, I'd like to draw your attention to the safe harbor statement included in today's press release. During this call, we'll make statements related to our business that may be considered forward-looking within the meaning of the Securities and the Exchange Act. All statements other historical facts are forward-looking statements, including those regarding management's expectations of future financial and operational performance and operational expenditures, location growth, future profit and margin outlook, expected growth in business outlook, including our financial guidance for the fourth quarter and full year 2023. Forward-looking statements reflect our views only as of today and except as required by law, we undertake no obligation to update or revise these forward-looking statements. Please refer to the cautionary language in today's press release and our SEC filings for a discussion of the risks and uncertainties that could cause actual results to differ materially from our expectations. During this call, we will discuss certain non-GAAP financial measures. These non-GAAP measures are not intended to be a substitute for our GAAP results. Please refer to our earnings release and SEC filings for detailed reconciliations of these non-GAAP measures to the most comparable GAAP measures. Unless otherwise stated, all references on this call to cost of revenue, gross profit and gross margin, sales and marketing expense, research and development expense, and general and administrative expense are on a non-GAAP basis. Finally, both the press releases and a replay of this call, including the accompanying investor presentation will be available on our Investor Relations website at investors.toasttab.com. And with that, let me turn the call over to Chris.
Chris Comparato : Thank you, Michael. Thank you everyone for joining us this afternoon. Our focus has been on delivering durable and efficient growth and our third results reflects execution on that objective. We added over 6,500 net locations in the quarter and ARR grew 40% year-over-year. We continue to balance top line growth with driving efficiencies, as we scale the business and adjusted EBITDA totaled $35 million in the quarter. The execution against our focused strategy to drive location growth serve all segments of the restaurant industry and bold product innovation to better serve our customers and open up new segments of the market is both driving strong results and has us well positioned to sustain this momentum going forward. As we announced in September, Aman will take over as the CEO at the start of 2024. Looking back over my nine years as CEO, I am incredibly proud of the accomplishments of the Toast team. Together, we have scale to serve nearly 100,000 restaurant locations with over 1.2 billion ARR. We've built a company culture with strong values and an employee base that embraces our customer-centric mission to be the trusted restaurant technology partner. At the same time, we've built a scalable, durable business, that's generating sustainable positive adjusted EBITDA and free cash flow. Our innovation mindset and our products have also expanded significantly over that time period, as we deliver on our mission. We've the brought in the types of restaurants that we serve and have made inroad across the entire US restaurant TAM. We have also evolved into a multiproduct platform company with solutions to help restaurants drive growth, build deeper connections and experiences with their guests and improve operations and manage their costs. Toast has been on this journey for over a decade and we proudly serve an industry that has navigated many ups and downs. There's no better example than over the last few years. Restaurant operators respond to unprecedented changes quickly expanding their service models to meet evolving consumer demands. Through it all, restaurants remain a central part of consumers' daily lives. More recently we've seen consumer spend moderate and I'm confident restaurants will navigate the uncertain macro environment with the same resiliency and tenacity they always do and this battle-tested industry will continue to thrive well into the future. Toast is side-by-side with our customers every step of the way and is often one step ahead helping restaurants adapt and thrive no matter the circumstance and we're just getting started. The SMB TAM remains a large opportunity for us. Enterprise restaurant groups are in the early days of adopting cloud technologies and a big international opportunity lies ahead. We are better positioned than ever before to expand and continue to build adjacent growth opportunities, as we capitalize on the generational opportunity to be the technology platform for restaurants and transform the industry. I've known Aman for 17 years having worked with him before I joined Toast. First and foremost as a co-founder of Toast, he brings a strong founder's mentality to the CEO seat where he will continue to raise the bar on execution and innovation. He intimately knows our customer base and has shaped much of the company through his many roles across the organization from open seeing product, to sales and customer success. So I'm confident that as Aman steps into the CEO role. He'll lead Toast to new successes and he is surrounded by the most talented leadership team that I've had the opportunity to work with across my career. To wrap up my last quarterly earnings call thank you to our Toasters and to our customers. We've accomplished a lot as a team the enthusiasm you bring to our mission sustains our momentum and I'm excited for what lies ahead. Now, I'll turn the call over to Aman.
Aman Narang: Thank you, Chris. Toast wouldn't be what it is today without your leadership and passion for the business our customers and of course our team. I think I speak for all Toasters in saying you'll be missed. And your friendship and support over the past 17 years that we've known each other has meant a lot to me personally. As Chris mentioned, we are excited about the opportunity ahead of us to grow the business and continue to be a great partner to the restaurant community. With just over 10% for the US market on Toast we have significant runway ahead of us. Our passion for this industry a strong focus on innovation to help restaurants drive and a world-class go-to-market and customer success team gives us confidence in our ability to drive sustained error growth while planning the seeds for future growth initiatives. We're incredibly happy with our performance in ARR. And the results represent strong momentum across our business. ARR was up 40% year-over-year to $1.2 billion, driven by strong execution across location acquisition and ARPU expansion. We are confident in our ability to continue to grow ARR across both these dimensions over the long term. Revenue increased 37% year-over-year and adjusted EBITDA increased to a record $35 million in Q3. Toast had its sixth consecutive quarter exceeding the Rule of 40 measuring fintech and subscription gross profit growth our recurring revenue streams plus adjusted EBITDA margin. This consistent execution is a testament to our team, who have prioritized both revenue growth and operating leverage as the business has scaled. We added over 6,500 net locations in the quarter approximately 20% more than Q3 last year. Our local go-to-market approach continues to help drive strong momentum in our SMB business as we increase number of markets with high customer density and market tenant. While the SMB business is still the primary driver of location growth or making progress across the broader market opportunity as well. Let me share a few customer stories from the quarter that speak to this. The Mariana Restaurant Group switched its four full-serve restaurants in Massachusetts and New Hampshire to Toast and three of them are already live in Q3. They purchased nine products to help streamline their business across both front of house and back of house and noted the simplicity and ease of use of an integrated all-in-one solution. In addition to our core offerings they're also leveraging our newer platform capabilities including Toast Tables and catering and events. With Toast Tables they can more easily estimate guest wait times give visibility into -- how far a long the table is in its service help with seating guests evenly across service areas to help in the workloads keep them balanced. In addition the integration between Toast Tables and our employee scheduling product helps managers better staff throughout the week. Using our Catering & Events product they've also been able to streamline a manual pay dependent process with a digital-first approach. We're excited to work with Mariana Restaurant Group and support their growth plans over the coming years. In mid-market, we expanded our relationship with credit worthy brands and are excited to partner with them as they grow. We signed 50 locations across their multi-concept fast casual QSR portfolio for a total of 93 locations on Toast. And in enterprise we're thrilled to extend our relationship with Nothing Bundt Cakes. They became a customer in 2019 and currently have over 500 locations live on Toast. We've been working with them to increase productivity drive higher digital conversion and streamline processes for their corporate team. To support their expansion plans and franchisee count, we have signed an additional 300 location across Nothing Bundt Cakes and expanded the set of products available to their franchisee community, including employee scheduling payroll and catering. This expansion creates an opportunity to double the Nothing Bundt Cakes associate ARR over time and we're excited to partner and support their growth plans. Shifting gears to products. We're focused on building products both to help our customers thrive and run a great business. Our vertical focus on restaurant continues to be an advantage as we open up deeper parts of the TAM and expand ARPU by building differentiated products for the industry. Product innovation has always been foundational in Toast DNA and you should expect us to maintain that focus moving forward. Last week, we announced Toast Now app for restaurant operators that provide bill time insight into performance data allows operators to manage the kitchen volume adjust menus and communicate with staff on the go on their mobile device. This is something our customers have been asking for and allows building deep and deeper connections from operators. We are pleased with the early adoption levels with approximately 20% of locations already on Toast Now a week after its launch. In addition we recently announced Toast for Cafes & Bakeries similar to Toast for Hotel restaurants and Toast for Quick Service. We're building solutions for different restaurant types that better serve deeper parts of the TAM. Toast for Cafe & Bakeries brings together product capabilities geared to help coffee shops and bakeries grow revenue speed up service and create more repeat guests. Cafes & bakeries serve a variety of customer needs, from a regular morning coffee to launch catering or an on-the-go snack. It is a segment of the market that we're excited about and represents a meaningful growth opportunity for Toast. As part of the Cafe & Bakery launch, we also announced restaurant retail which provides unified restaurant and retail POS systems to manage retail SKUs. Things like wine selections or packaged coffee and more, directly within Toast providing a one-stop shop for customers to manage food service and retail together. We've seen rest embrace more service models especially during and post pandemic. And this is yet another example of our continuous focus on meeting the evolving needs of our customers. This is a good example, for how our product innovation can help serve deeper parts of the TAM drive incremental GPV through Toast and support ARPU growth. One customer I'd like to highlight is, 320 Market Café, a family owned gourmet market with two locations in Pennsylvania that includes the Pizzeria, a café, a retail area offering prepared foods craft beer and wine as well as the catering business. Before they joined Toast 320 took catering orders through e-mail and orders on paper which often got lost in the kitchen. And on the retail side, the process of adding a new retail SKU took over 20 minutes. This slowed down their ability to serve guests and generate revenue. Now with Toast, 320 Market Café, of course a growing business with quicker inventory management, faster checkouts and a way to take catering orders digitally all in a single integrated platform. They can now tag a new product and have it on the retail for minutes to track sales data in real time, and take down their corporate of paper catering orders in a digital system -- in place of a digital system and manage them from anywhere. With catering, retail, online ordering, gift cards and more, 320 Market Café has up-leveled their business with Toast and saved their employees about eight hours per week of manual work equivalent to a whole shift. As we continue to broaden our products for our go-to-market team to serve a variety of customers types and pinpoints. Our upsell team becomes increasingly important to drive growth for the adoption of our platform across our customer base. As we approach 100,000 locations and beyond our upsell teams can get bigger, and we continue to see this as a big opportunity for growth in our business over time. To wrap up as Chris mentioned, we're excited about the opportunity in front of us. We are focused on being a strong partner to our restaurant community and we are well positioned to drive sustained area of growth in the future while building an efficient and durable business that can generate long-term value for customers and shareholders. As I think about the opportunity ahead of us, I'm energized and motivated by the momentum we have. It goes about saying, that none of this will be possible without the tireless efforts of our employees. A special thank you to all Toasters. I'm excited to lead this group of talented individuals as we transform the restaurant industry. And with that thank you and I'll pass it off to Elena.
Elena Gomez: Thanks, Aman and thank you, everyone for joining. I also want to thank our incredible employees for another quarter of great work. Our team continues to execute at a high level, driving 40% growth at over $1 billion in ARR and delivering significant margin expansion. With a differentiated business model, scalable go-to-market engine and innovative all-in-one platform, we're well positioned to continue driving efficient growth at scale going forward. The 40% increase in ARR was on the back of strong location growth and continuing ARPU expansion translating to 37% year-over-year revenue growth. Our recurring gross profit streams fintech and subscription totaled $280 million, up 39% year-over-year. Adjusted EBITDA was $35 million, representing a margin of 13% on our recurring gross profit streams with over 22 percentage points of margin improvement year-over-year. Growth in our recurring gross profit streams and adjusted EBITDA margin are the basis for how we calculate Rule of 40 and this marks the sixth consecutive quarter we exceeded the Rule of 40. We sustained our go-to-market momentum in Q3, adding over 6,500 net locations. That was primarily driven by the flywheel effect from our localized go-to-market motion. As rep tenure and local market share increase, so has rep productivity, contributing to a solid year-over-year increase in SMB restaurant location adds. Our goal has always been to serve the entire restaurant TAM over time. We are increasingly making progress across supplementing our momentum in SMB with incremental growth both up and down market and internationally resulting in sustained location growth of over 30%, even as we approach 100,000 locations. Our primary focus remains on the core SMB segment. As we broadened and deepened penetration across the TAM including smaller SMB customers, enterprise customers and expanding internationally, our customer mix will evolve and have different SaaS and GPV dynamics. Our focus is to maximize ARR growth, which is our North Star metric, while maintaining the same healthy unit economics overall all. We plan to manage the portfolio to the same payout in the mid-teens, number of months, ensuring that growth is efficient as we expand and drive incremental profit. In the third quarter, SaaS ARR grew 47% year-over-year, driven by strong location growth and a 9% increase in SaaS ARPU. We're capitalizing on the location acquisition momentum we have while continuing to balance ARPU growth. We plan to exit Q4 with SaaS ARPU growth in the mid- to high single digits reflecting lower ARPU for new go-live cohorts, as we continue to optimize our upfront sales to balance sustained location growth velocity, as well as some impact from mix shift. Our long-term growth algorithm remains the same. We have a long runway to increase ARR through both locations and ARPU with just over 10% of US restaurant locations on the platform, a proven differentiated SMB go-to-market motion and growing traction across the full breadth of restaurant segments, as well as green shoots internationally, we're well positioned stained healthy growth location for years to come. Similarly as we scale customer count, we have conviction in our ability to drive healthy SaaS ARPU growth over the long-term through pricing and packaging, scaling and refining our upsell motion and delivering ongoing product innovation to enhance the customer value proposition. Moving to FinTech Solutions, on a year-over-year basis third quarter revenue and gross profit both grew 36% to $856 million and $182 million, respectively. GPV increased 4% to $33.7 billion, an average annualized GPV per processing location was down slightly year-over-year. Similar to Q2, the year-over-year change in GPV per processing location was impacted as we lap the inflation tailwind and from a slight mix shift as we extended to more segments of the TAM. In addition in the back half of the third quarter, we saw a modest slowdown in same-store transaction volume which resulted in a decline in GPV per-processing location in the quarter. Trends have remained stable since then. Given the broader macro environment remains mixed, we finance for GPV trends to remain at current levels in the near-term and for GPV per processing locations decline year-over-year in Q4. On non-payment FinTech solutions led by Toast Capital, contributed $34 million in gross profit in the quarter as demand for the offering remains healthy and default rates remain steady. We continue to take a balanced approach to growing Toast Capital and our unique position with real-time access to POS data allows us to monitor the health of restaurants and prudently balance risk, while helping our customers grow with fast, flexible access to capital. Net take rate was 54 basis points. Core net take rate was 44 basis points with other FinTech products contributing 10 basis points. This quarter included a one-time cost accrual true-up while the prior year benefited from a credit. Absent those onetime impacts, core take rate was approximately flat year-over-year. In Q4 we anticipate core and total net take rate to be in a similar range on both a quarter-over-quarter and year-over-year basis. Turning to customer acquisition costs, Hardware revenue increased year-over-year due to both location ads and existing customers adding more hardware. Hardware margins improved year-over-year, primarily due to lower shipping costs. On the sales and marketing side expenses grew 17% year-over-year. We're making targeted investments in our go-to-market team and continuing to grow our upsell team, while staying focused on maintaining healthy unit economics and driving operating leverage. We manage our customer acquisition costs using a dollar-based payback period which takes into account the incremental recurring gross profit across both new business and upsell. Payback periods remain within our targeted level of mid-teen months for the portfolio. Shifting to R&D, our Toast for Cafes & Bakeries launch including the restaurant retail offering is another example of leveraging product investments to drive deeper location penetration by super serving the unique needs of our different customers. It also highlights how our product innovation locks more revenue streams for customers and drives incremental transaction volume for Toast -- through Toast. G&A grew 12% year-over-year in the third quarter. Excluding $19 million of bad debt and credit-related expenses in the quarter, primarily related to reserves Toast capital G&A was flat year-over-year. We've seen meaningful leverage in G&A, as a result of our focus on efficiency and disciplined head count management. Excluding bad debt and credit-related expenses G&A as a percentage of our recurring gross profit streams was 16% in the quarter a 600 basis point improvement year-over-year and we expect to continue driving operating leverage on our overhead cost going forward. In total, adjusted EBITDA was $35 million in Q3 and margin as a percentage of our recurring gross profit streams increased to 13%, marking the seventh consecutive quarter of margin expansion. That's a result of our healthy top line growth and diligence in efficiently scaling the business. Overall, we expect to continue building operating leverage as we march towards the long-term target margins we previously laid out. Free cash flow was $37 million in Q3, roughly in line with our adjusted EBITDA. As a reminder, working capital will fluctuate based on GPV and timing of payments. But over time free cash flow should largely follow a similar trajectory as adjusted EBITDA trends. Now let me turn to guidance. For the fourth quarter, we expect revenue to be in the range of $1 billion to $1.03 billion, representing 32% year-over-year growth at the midpoint. Adjusted EBITDA is expected to be in the range of $5 million to $15 million. In addition to the seasonally lower GPV per location in Q4, the sequential decline in adjusted EBITDA compared to the third quarter also reflects our expectation for slower year-over-year GPV growth and investments we're making to strengthen our position heading into 2024. For the full year, we continue to expect revenue to grow 41% at the midpoint of our guidance and now expect adjusted EBITDA to be in the range of $38 million to $48 million, representing an approximately $160 million improvement in adjusted EBITDA versus last year at the midpoint. To wrap up, we are extremely proud of the work that the Toast has accomplished thus far in 2023. We're scaling the business in a durable manner as we capitalize on the opportunity ahead of us to build a generate business that delivers significant value to our customers and shareholders. And we are well-positioned to continue delivering long-term growth while driving operating leverage throughout the business and executing on this long-term opportunity that remains ahead of us. Now I'll turn the call over to the operator to begin Q&A.
Operator: Thank you. [Operator Instructions] Our first question is from Tim Chiodo with UBS. Your line is now open.
Tim Chiodo: Great. Thank you for taking the questions. I want to touch on your thoughts on your ability or potential to take pricing within the core subscription portion of the business. So with a few competitors that have taken pricing in different ways over the past year or so Square, Clover, Shopify and others. I was hoping you could give us an update on where you think you stand in terms of that potential? Thank you.
Aman Narang: Thanks for the question Tim. I'll start by saying customers as we said in previous calls, our customers understand that product innovation requires investment and that prices will increase over time. We'll see it as our new customers that are coming at Toast are coming out at higher pricing. And we've also looked at the distribution curve across our customer base in terms of what they're paying across both SaaS and payments, and see opportunity there. And so we're confident that we can drive and increased pricing over time. We also see opportunity in terms of how we package our products across both software and fintech and see that as an important lever as well to drive ARPU and price. We're also aware that we're -- if you look at the opportunity in front of us to gain market share at both locations and target at rates, we want to make sure that we're offering transparent value-based pricing to our customers. So I think in the long-term we're confident in our ability to increase prices and we're working through it.
Tim Chiodo: Great. Thank you. And the brief follow-up is just more of a numbers question around fintech take rate. So I believe that the gross take rate ex-capital would have been up slightly maybe one basis point year-over-year. And you mentioned that some of the accruals and what not that if we would normalize it the net take rate was roughly flat on a year-over-year basis. Could just talk about looking forward the potential to see a little bit more of leverage on the fintech COGS line maybe whether it be with payment processors or some of the other non-payments-related items in there whether it be support or data center or other costs that are in the fintech COGS line? Thank you.
Elena Gomez: Yes. Thanks, Tim. It's a fair question. Look I think over the long-term we have an opportunity to gradually increase our core take rate either through investing in our payments infrastructure and just driving operational excellence as we're trying to drive down cost per transaction. And that's both working with our partners and negotiating. And then there's – obviously, we can impact the price of course that's also at our disposal. And then just leveraging our scale as we get bigger I think we'll have -- we'll be in a position to negotiate even further. So I think there's an opportunity both on the pricing side of things but also as we optimize our cost start over time.
Tim Chiodo: Thank you.
Operator: Our next question is from Stephen Sheldon with William Blair. Your line is now open. 
Stephen Sheldon: Hi. Thanks. And first congrats on all of you accomplished it to help Chris and congrats to Aman as well on taking over as CEO. Just on the guidance it seems a slight sequential step down in revenue in the fourth quarter versus the number you just put up in the third quarter. And I think you said that's mainly GPV per location that's expected to be down some. So can you just talk about how much of that may be normal seasonality in restaurant revenue versus weakening consumer spending if you have any visibility into that?
Elena Gomez: Yes, sure. So most of it Stephen -- it's a fair question. So the GPV pre location which I commented in the script is really something we saw late in September and continuing into October. So that was the primary calculus. But also remember seasonally GPV is GPV per location is lower in Q4. So both of those factors played a role, but the reason -- the primary reason is the trends we're seeing most recently in same-store sales.
Stephen Sheldon: Got it. Okay. That's helpful. And then just on the sales force investments you're making. I guess do you need to keep adding significantly to the sales force to keep location growth when you think about sequential additions of last quarters you have to keep adding sales headcount to keep location growth or in recent quarters? And maybe talk about the mix of investments you're making there between new location wins and maybe the upside.
Aman Narang: Yes. Good question, Stephen. Look I think if you look year-over-year our net location adds are up 20%. And so a lot of our investment in sales and marketing are cold with that. And back to what Elena mentioned in terms of making sure that we're tracking towards the vectors. I think we're trying to be strategic in terms of where we see opportunity to invest whether it's on new business or it's an upsell to continue to gain market share and continue to grow the business. But we're always trying to be balanced in terms of making sure that we're managing to economics across the board. There are some new areas we're investing in. We've talked about before whether it's upmarket in enterprise international right where we are still earlier. But overall I think the bulk of the growth in the business is coming through our core assets.
Elena Gomez: Yes, I would just add we're set up to have a strong Q4 and on track to our expectations. And to just build on what Aman said that consistent execution thanks to our sales team is really showing through and we've got a healthy pipeline as well. So, when you put that all together, I think we're going to continue that acquisition momentum into 2024 which will be a big driver of our ARR growth.
Stephen Sheldon: Great. Thank you.
Operator: Our next question is from Will Nance with Goldman Sachs. Your line is now open.
Will Nance: I also wanted to ask a question on the subscription side or on the ARPU side. You made some comments related to the TPV per location maybe putting the macro stuff aside sounds like there's a little bit of mix shift going on. And if I'm interpreting that right it's kind of smaller locations coming on weighing down on GPV per location. Is there a similar trend playing out on the software ARPU per location i.e. like smaller location using less software? And I guess maybe in prior quarters you provided some color on sort of what front book ARPUs are looking like. Any color on where that's trending now? And then just your thoughts on how that progresses from here?
Elena Gomez: Yes, fair question. So, look our SMB remains our core at the highest level and our success in SMB is hopefully actually frankly more opportunities across the entire TAM. So, as we're leveraging our product innovation we're going after those opportunities. And we're seeing really good progress in segments like e-com or international, right? And so as we get into the segments and extended that TAM, we're going to see both different GPV and ARPU dynamics. But at the highest level, just kind of zooming out, ARR continues to be earnout from a trick. And we'll always see balancing location ARPU growth on an ongoing basis. And right now is a great example of us capitalizing on that location acquisition momentum. So, delivering $200 million in SaaS ARR year-over-year balancing those -- I think 2023 is a great example. To your question on the front book I'd actually reframe you back to ARR because as we're trying to optimize our land and expand motion and we've talked a lot about the upsell team. And as we're extending it to different parts of the TAM like I mentioned international e-com. The mix is less comparable than what we are a couple of quarters ago. So, for us our North Star and how we operate the business is really on ARR basically. And that's through and through. So -- and it's also just reflect our financial performance but also how the reps are comped rep goals are all around ARR goals. Our company bonus program is on ARR growth. So it's truly how we manage the business as well.
Will Nance: Got it. That makes total sense. And then I guess just on the macro point. As we think about softening same-store sales which broadly consistent with other companies in the space. So, I kind of get that how are you thinking about the reaction function from merchants? I guess particularly on the go-to-market side as you have conversations with prospects. Is there -- how are you thinking about like the potential for some business to say hey we're going to take two handhelds instead of three maybe buy a little bit less hardware upfront things of that nature. I mean do you expect sort of like the initial sale to get more difficult in an environment where same-store sales are softening and any strategies you have to combat that?
Aman Narang: Well, we haven't seen that in our core SMB business. And as we mentioned in our guidance we talked about Q4 net location as being in 6,500 range and we continue to be confident in -- and if you look at on the top of funnel and our win rates we haven't seen anything materially different. And we continue to believe that our growth is really tied to our execution and getting more in our core SMB business into flywheel status, which is really just growing customer density growing the rep tenure in these markets. And so we haven't seen anything in our pipeline to suggest that customers are less receptive to purchasing Toast or looking to buy less of the platform.
Will Nance: Got it. Super helpful. Appreciate you taking the questions.
Aman Narang: Thank you.
Operator: Our next question is from Tien-Tsin Huang with JPMorgan. Your line is now open.
Tien-Tsin Huang: Thank you and all the best of Chris here. A follow-up to Will's question just on the Toast Capital side, if you haven't seen any customers changing their behavior here, are you changing maybe your appetite to extend credit given what you're seeing on the consumer moderation side?
Elena Gomez: Yes, it's a fair question Tien-Tsin. Thank you for the question. Our default rates have been in line with our expectations. And so -- and we're seeing healthy demand from our customers. So -- we don't have plans to change our program at the moment. It's a very healthy program and we're managing the risk very well and have a lot of controls in place around the program. That said, if the macro were to turn we also are confident in our ability to quickly move and throttle the originations if we needed to. But overall, the program is very healthy and meeting our expectations all the way around.
Tien-Tsin Huang: Okay. Great to hear. And if you don’t mind, the competition question. It doesn't sound like it but -- we get a lot of questions around some of your competitors changing their strategies really to look a little bit more like those whether it's verticalizing or forcing payment monetization that kind of thing. Are you seeing any change in competitiveness at all on the ground?
Aman Narang: Yes. Thanks, Tien-Tsin. Look, we've had -- we've built up a strong competitive program within the business as we track a lot of this data carefully. And I'll just go back to like this has always been a competitive market. And to what I just said earlier, we really do believe our growth is more tied to our own execution more than anything else. And we're tracking the pipeline every day. That being said, we're tracking pipeline the top of funnel win rates the activity of our team by competitor. And I think if you go back and just look at our confidence in terms of net adds in Q4. And it really just speaks to the performance of our go-to-market team and just the -- our own execution as a business.
Tien-Tsin Huang: Understood. That’s fair. Thank you so much.
Aman Narang: Thanks, Tien-Tsin.
Operator: Our next question is from Jason Kupferberg with Bank of America. Your line is now open.
Jason Kupferberg: Hey. Thanks guys. So just on revenue, obviously, the growth rate here is still robust but we didn't see the kind of upside if you will that we've been accustomed to seeing on revenue from Toast. And you talked about some slower ARPU. You talked about some slowdown in same-store sales I mean maybe latter point. Can you quantify how much the same-store sales slowed down late in Q3? And just any other call-outs that you might have seen in the quarter parts of the business that perhaps weren't quite as strong as you might have envisioned?
Elena Gomez : Yes. So let me take your question sort of in the – there's lots in your question but – at the highest level, the guidance that you're seeing for the balance of the year really reflects the macro that we talked about so GPV per location coming down. In September, in particular, as we start to see that trend it's continuing into October. And so our guidance reflects the macro playing a role. But just zooming out the momentum in the business that we have exiting the year into Q4 still remains healthy regardless of the macro. So as we think about the next year, just give some color on that, we're growing healthy. We've got a great operating leverage story. So as we enter into 2024, we're going to go in with the same discipline, focus on growth and as well on cost discipline. And we've delivered healthy growth alongside driving this operating leverage over $160 million in a year. So really proud of that. So despite the macro of course we're paying attention to it but that doesn't change the sentiment of this management team about the opportunity ahead of us. I think the one thing I'll say is we're going to continue to invest obviously in the core business but we've got some investments in some of our emerging businesses as well, which will help us really position us for long-term growth.
Jason Kupferberg: Right. Right. That makes sense. And then just coming back to the upsell team I think you mentioned, they're going to become an even more critical, part of the growth story going forward. Anything you can share just in terms of the size of that team now? And what sort of productivity gains you've perhaps seen there? And to the extent you still see headroom in their productivity.
Aman Narang: Yes. Thanks, Jason. Good question. Look I think as we mentioned in the previous calls, the team that's going after new business, new locations is a lot more mature. It's been around for 10 years plus. And the upsell team is newer and we continue to refine and build it out. We do see it as an opportunity for us. We think there's headroom in the terms of everything from growing that team to continue to optimize the motion and how we partner between the new business team of lending restaurants, how we expand ARPU over time. And as I mentioned in the script in the long-term, we see this as an important part of our growth story over time.
Jason Kupferberg: Thank you.
Aman Narang: Thanks, Jason.
Operator: Thank you, Jason. [Operator Instructions] Our next question is from Josh Baer with Morgan Stanley. Your line is now open.
Josh Baer: Thank you for the question. I was hoping you could double-click on the GPV per location commentary. If you could provide any data or insights into what seeing as far as the number of items on the ticket or trading down other consumer behaviors just as it relates to restaurant sales.
Elena Gomez : Yes I'll take that and feel free to jump in Aman. So average ticket has actually held pretty steady over the last several quarters. So that's not as much a factor. I think it's really same-store sales. And really I would say towards the end of the quarter is when we saw that into October. So there's – and we haven't yet seen trade downs either as we're looking at the data. Obviously, we're paying attention to that. And maybe in past recessions that's been a factor but we're not seeing that yet in our data.
Josh Baer: Great. And then a follow-up sticking to GPV, just given your position in the industry and your expertise, I wanted to ask you about GLP-1s and your view on the near-term longer-term impacts? Thank you.
Chris Comparato: Yeah. Hey, Josh. This is Chris. Good question. We're not seeing anything that indicates a change in consumer behavior due to GLP-1 or Ozempic. We don't expect it to have a significant impact and we remain laser-focused on giving the industry the best technology platform to manage their business. So we're confident dining at restaurants will remain a cornerstone activity for consumers and again, not seeing anything related to it.
Josh Baer: Great. Thank you.
Operator: Our last question is from Dave Koning with Baird. Your line is now open.
Dave Koning: Yeah. Hey, guys. Thanks so much. To follow up a little on Tien-Tsin's question about Toast Capital. You had tremendous success. You've grown probably two to four times over the last handful of quarters, but this quarter was a little slower sequentially. And I guess I'm wondering do you expect that to grow a little closer to the core business going forward instead of kind of the massive growth going forward?
Elena Gomez : Yeah. I just want to remind you that over the last year, we added a 360-day loan product. So it was be mindful of that in your comparisons. But I would say in the near term, I would expect post capital stay in a similar range as a percentage of GPV is probably a good proxy to the way to think about it. But the demand is healthy. We're seeing a lot of customers come back and renew their loans. And so we're not seeing any concern about the growth of the program at all.
Dave Koning: Got you. Okay. Thanks. And maybe just as a follow-up, I just want to make sure I understood right. Did you say subscription ARPU going forward in the mid single-digit to high single-digit year-over-year growth? And if so what you expect in Q4 as well?
Elena Gomez: Yeah. My commentary was actually around Q4 to be in the high ARPU up to the mid- to high single-digits. And that was really just to zoom out to give you some texture on that. As we optimize what we land with customers upfront and some of the impact from customer mix, we expect that to be gradual. But overall, we're optimizing for ARR which I commented on earlier. And as we're getting to 100,000 locations, we want to continue that momentum. So that's how I'd characterize that.
Dave Koning: Great. Thanks so much.
Elena Gomez: One thing I would add to that as I'm thinking about your question. It's just thinking about ARPU over the long-term. As we think about it what is the terminal value of ARPU or what's that level going to look like? There's a couple of things we think about which may help frame for the group. Today, we have more than 10% of our customers paying us over 10,000 in ARPU and we see that growing steadily. But then just zooming out and you think about all the opportunity we have to grow ARPU, whether that's continued innovation which Aman talked about in his script, whether that's our upsell team which is very early, whether it's pricing and packaging just there are several levers that we can put together over the next several years to drive that ARPU expansion. And so we're very confident as we exit 2023 that we're going to continue to grow ARPU and have healthy SaaS ARR growth over time.
Dave Koning: Thank you.
Operator: We have no further questions, so I'll pass the call back to the management team for any closing remarks.
Chris Comparato: Thank you, and thank you all for your thoughtful questions. I appreciate your well wishes. Thank you to our Toasters and more importantly to our customer base. And my last point is you're in strong hands with Aman and Elena moving forward and have a great day. Thank you.
Elena Gomez: Thank you, Chris.
Aman Narang: Thanks, Chris.
Operator: That concludes today's conference call. Thank you for your participation. You may now disconnect your line.